Operator: Ladies and gentlemen, thank you for standing by and welcome to Uxin’s Earnings Conference Call for the Quarter Ended September 30, 2020. And at this time, all participants are in listen-only mode. And after management’s prepared remarks, there will be a Q&A session. Today’s conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to Nancy Song, Investor Relations Director of Uxin. Please go ahead.
Nancy Song: Thank you, operator. Hello, everyone. Welcome to Uxin’s earnings conference call for the quarter ended September 30, 2020. On the call today are D.K., our Founder and CEO; and Zhen Zeng, our CFO. D.K. will review business operations and the company highlights, followed by Zhen, who will discuss financials and guidance. They both will be available to answer your questions during the Q&A session that follows. Before we start, I would like to remind you that this call may contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements are made based on management’s current knowledge and assumptions about future events that involve known or unknown risks and uncertainties, which could cause actual results to differ materially from those in the forward-looking statements. Uxin does not undertake any obligations to update any forward-looking statements, except as required under applicable law. For more information about the potential risks and uncertainties, please refer to our filings with the SEC. With that, I will now turn the call over to our CEO, D.K. Please go ahead.
Kun Dai: Thank you, Nancy. Hello, everyone. Thank you for joining our earnings conference call today. The September quarter marked our transition to an inventory-owning model. Now we are pleased to report that we have successfully made the transition, which gives us better control over all other fault -- our other flow and the supply chain management with our online projects and the service offering being continuously optimized. We are also very pleased with the progress we made better serving our customer as a national wide online car dealer. Not to only have we raised the bar in delivering enhanced the customer experience, but we also validated our efforts by receiving improved customer satisfaction feedback during the quarter.  The completion of our shift to an inventory-owning model, coupled with our unique offering off and online used car buying experience father the strengths our ability to maximize customer value to our dedicating approach, offering quarterly value for money used cars alongside the best-in-class pricing services. In fine-tuning our products and services, we focused on three initiatives during the September quarter in order to deliver a better customer experience. First with used car quality by adopting stricter standards in selecting and inspecting cars and improve the car conditions by introducting standard and wheel rounding reconditioning services. In terms of car quality by leveraging the massive used car better category that from our historical car inspection and through our experience in progressing our car insurance clients over the past three years. We have developed an extensive and deep understanding of car performance from certain mix and models in relation to manufacturing data of knowledge. This data-driving know-how allow us to effectively exclude some new tap off [ph] cars with manufacturing defector of relatively high failure rates. In addition, we also raised the standards for inspecting cars to further ensure that the cars components are all-in greater shape. This standards enhanced the quality of our overall used car inventory and allow us to gain greater customer satisfaction and trusted leadership. In terms of car condition, additional staff offer refurbishment enhanced the cars like new condition allows us to consistently offer customer a more attractive and a greater value alternative to buying a new car. Second, with the used offer highly effective online communication course and methods, we invested -- conducted and continuing to refine the process of serving our customer online through all to the lifecycle of our pricing and driving off costs. Let me explain why is a customer place [technical difficulty] order with us. There will be dedicated service team assigned to this customer. The service team consistent of an online sales consultant who is responsible for handling the purchase order and the online service consultant -- sorry -- for handling all paperwork, all documents for title transfer and a license plate plays the restitution and auto financing specialist who is responsible for processing loan application related to documentation if the customer finance his car. And after sales manager who is responsible for responding to every other sales inquiries such as car incentives for insurance clients after the customer drives away his car. As we standardized the way of delivering services at each key sales and after sales point, we significantly increase the responses -- the responsiveness of our service personnel and improve the customer satisfaction as a result of our service deliver. Third, we shorted the waiting period between initial order and final deliver of the cars. We further improved the entire fulfillment process include optimization of logistics tax and car deliver as well as a fusion of more timely title transfer. We are also introduced a new policies that the customers are entitled to -- for certain clients if customer received car later than our promise deliver time. As a result of this enhancement, we saw our net promoter score or NPS significantly increased to 30 for the reported quarter from only 10 from the June quarter. It’s worth mentioning as well that our NPS exceeded 45 in the month of September, indicating the increasing traction of our products and services as well as growing customer loyalty. As we benefit from the improved customer satisfaction and greater willingness to recommend Uxin to others. We are confident that we can secure around 1,400 deposit-required purchase orders in month. Our dedication to offering quarterly -- quality value-for-money used cars and best-in-class purchasing services, which are also our key growth drivers, contributes markedly to satisfying the increasing demand from a new group of customers who are more willing to pay a premium for high-quality cars and services. Catalyzed by these two drivers, the expansion of our customer base and increase in transaction volume does present us with a different growth paths. But we believe this customer type has the potential to consistently contribute to our long-term growth as we are already starting to receive more purchase orders from customer referrals. Once we hit critical mass as our new customer base expands, we believe that customer trust and word-of-mouth referrals will translate into solid and sustainable long-term volume growth, further solidifying our brand and market position. We are confident that this will provide a firm foundation for our future business development and for generating more long-term value for shareholders. With that I would like to turn the call over to our CFO to walk you through the financial results. Zhen, please go ahead.
Zhen Zeng: Okay. Thanks D.K. Hello everyone. Thanks for joining us today. As we made the transition to an inventory-owning model, we continue to enhance our operational efficiency across the board. Our focus on handpicking used cars now enables us to allocate our inspection resources to only specific qualified cars and helps to optimize inspection costs. In addition, we are also able to reduce sales and relevant administrative expenses as we streamlined our sales process by migrating every sales step online. With a fundamentally optimized cost and expense structure in place, we believe that we will achieve better operating leverage in the long-term as we achieve a scale, strengthen trust in the Uxin brand and benefit from positive word-of-mouth referrals among customers. Now, let me work you through our financial details for the quarter ending in the September. Please note that the result I will discuss related to the continuing operations only. All numbers are in RMB unless otherwise stated. Also, please note that some numbers I refer to are non-GAAP numbers. You can find a reconciliation of these numbers at the bottom of our earnings release. In the three months ended September 30, 2020, total revenues were RMB76 million compared with the RMB397 million in the same period last year. The decrease was primarily due to the decrease in the 2C transaction volume and GMV, as a result of our business model transformation.  We operate our entire used core inspection, our transaction process and migrate every sales step online. Beginning in the June 2020, we are now building our customer base by using online sales staff as opposed to offline sales team. Our total 2C revenue was RMB61 million compared with RMB334 million in the same period last year. Our online used car transaction volume was 2,653 units with the corresponding 2C GMV being RMB293 million. This figure includes 308 units sold from our old inventory with corresponding to 2C GMV in 36 million. In comparison, 2C used car transaction volume was 23,566 million units with the corresponding GMV being 2,828 million in the same period last year. Let's now look at the three revenue streams of our 2C business. Commission revenue was RMB13 million compared with RMB176 million in the same period of last year, primarily due to the decrease in transaction volume in GMV. Our commission rate decreased to 5.2% from the three months in September 30, 2020 from 6.2% in the same period last year. The decrease in the commission rate was mainly because we lowered the transaction fees across the board since August 2020, so as to offer more competitive prices to the customers. Value-added service revenue was RMB12 million compared with RMB158 million in the same period last year, primarily due to the decreases in transaction volume in GMV. VAS decreased to 4.7% from 5.6% in the same period last year. As a result of our reduced service fee since August 2020, in order to offer more competitive price to the customers. Vehicle sales revenue was RMB36 million compared with nil in the center last year. Vehicle sales revenue is recognized on a gross base when we sell our own inventory. We shifted to an inventory-owing model since September of 2020 as we disclosed in the last quarter's earnings release. Looking at the business -- other business, our other revenue was RMB15 million in the -- for the three males ended September 30, 2020, compared with RMB62 million in the same period last year. The decrease was mainly due to the divestiture of our salvage car related business in January 2020. Cost of revenue decreased by 45% year over year to RMB93 million. The decrease was primarily due to a decrease in salaries and benefits for the employees engaged in the car inspection, quality control, customer service and after sales services, as well as a decrease in the fulfillment costs due to the lower transaction volume. This was partially offset, however, by an increase in a vehicle acquisition cost relating to our beginning to building the inventory since September 2020. Gross Margin was negative 22.4% for the three months in September 30, 2020, compared with a gross margin of 56.9% in the same period last year. Total operating expenses was RMB319 million. Non-GAAP operating expenses, which excludes the impact of share based compensation were RMB354 million. Sales and marketing expenses decreased by 74% year-over-year to 76 million. The decrease was mainly due to the decrease in the salaries and benefits expenses as a result of the headcount reduction and the lower marketing expenses. Sales and marketing expenses excluding the impact of share based compensation were RMB76 million. G&A expenses decreased by 18% to RMB56 million, the decrease was mainly due to a reserve in the share based compensation expenses. General expenses, excluding the impact of the other share based compensation were RMB71 million. R&D expense expenses decreased by 45% to 19 million, the decrease was primarily due to a decrease in the salary and benefits expenses as a result of the headcount reduction. Our R&D expenses excluding the impact of the share based compensation where RMB20 million. Loss from a guarantee liabilities was nil for the three amount ended September 30, 2020. We incurred the guarantee liabilities associated with the remaining guarantee obligation from our historically-facilitated loan and were not transferred to Golden Pacer. We adopted Accounting Standard Update 2016-13, Financial Instruments -Credit Losses, Measurement of Credit Losses on Financial Instruments on January 1, 2020 under a modified retrospective method. Before the adoption of ASC 326, gain or loss accounted for that related to guarantee liabilities was greater of either of the amount determined based on ASC 460 or the amount determined under ASC 450 and was recorded as gain or loss from guarantee liabilities. After the adoption of ASC 326, expected credit losses of contingent guarantee liabilities shall be accounted for in addition to and separately from the stand ready guarantee liabilities accounted for under ASC 460, and the provision for contingent guarantee liabilities is currently recorded within provision for credit losses; and the gain released from the stand ready guarantee liabilities accounted for under ASC 460 is currently recorded within other operating income. Provision for credit losses, net was RMB168 million for the three months ended September 30, 2020. In order to settle our remaining guarantee liabilities, on April 23, 2020, we entered into a supplemental agreement with one of our major financing partner with regard to our historical facilities loan. Pursuant to the supplemental agreement we signed in April, such financing partner agreed to set a cap on the amount of cash we would use to fulfill our guarantee obligations from 2020 to 2022. As a result, a release of contingent guarantee liabilities of RMB86 million was recognized for the quarter ended June 30, 2020, representing the time value of the potential cash outflow. Subsequently on July 23, 2020, we entered into another supplemental agreement with the same financing partner to entirely settle our remaining guarantee liabilities associated with the historically-facilitated loans for this financing partner. This supplemental agreement amended and restated the agreement we signed in April.  Pursuant to the agreement we signed in July, we are entitled to settle all our remaining guarantee liabilities under the condition that we'll pay the settlement amount in installments from 2020 to 2025 based on an agreed schedule. As a result, the aforementioned previously recorded time value of the contingent guarantee liabilities in the amount of RMB84 million was reversed, based on the time value determined up to August 8, 2020, which was the closing day of the July agreement what we signed in July. Loss from continuing operations was RMB163 million compared with RMB188 million in the same period last year. Non-GAAP adjusted loss from continuing operations which excludes the impact of share-based compensation was RMB178 million compared with RMB190 million in the same period last year. Net loss from continuing operations was RMB259 million compared with RMB202 million in the same period last year. Non-GAAP adjusted net loss from continuing operations which excludes the impact of share-based compensation was RMB275 million in the quarter, compared with RMB204 million in the same period last year. Turning to our cash position, as of September 30, 2020, we have cash and cash equivalents of RMB219 million. In addition, as we complete a new round financing of U.S.$25 million in October 2020, we received the cash consideration in the same amount, which supplemented our cash position. That sum up our results for three months ended September 30, 2020. Now moving on to our guidance. With the adoption of an inventory-owning model, we expects our average selling price to remain at similar level as before and we expect our total revenue to be in the range of RMB275 million to RMB290 million and the gross margin to be positive and in a single digit percentage range for the December quarter 2020. And we, as continue to improve overall operating efficiency, we also expect our adjusted loss from operations to narrow slightly from the September quarter. This forecast will reflect our current and primary view on the market in operational conditions which are subject to change.  That concludes our prepared remarks.
Nancy Song: Thank you, Mr. Zhen. Operator, we would like to open the call for questions now.
Operator: Certainly. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] We have our first question coming from the line of Eddy Wang from Morgan Stanley. Please go ahead.
Unidentified Analyst: Hi, D.K., Michael. Thank you for taking my question. [Foreign Language]  Thank you for taking my question. I have two questions. The first question is about the outlook of the used car industry in next year. And the second question is that you mentioned, you have been doing a lot of efforts to improve the overall NPS goal, and the user experience. So going forward, what kind of the efforts you will continue to do to further improve this -- the user experience in terms of NPS. Thank you. 
Kun Dai: Okay. Thank you, Eddy. All right. I will take these two questions. So, first of all, industry, just recently China auto Dealer Association has a promoted and implemented several used car policies this since year. In this industry environment, I think it will be a new start for the used car industry next year that is the whole sector should move forward in full compliance with relevant used car policies, further implemented and upgraded. This, will enhance the entire industry to develop from a used car brokerage model toward -- to a more organized the business model. We are participating as more regulated. Currently a used car VAT tax has already been cut from 2% of ourselves to 0.5%. And at the same time, there are also some -- the enhancements in policies relating to vehicle temporary -- preparatory, the registration and the title transfer.  And, we can say Beijing introduced a new license planted allocation policies earlier this month. As a pilot city, I believe Beijing will launch and implement specific plans next a response to this policies mentioned above.  So, there will be a favorable government policies in place and by the way the implementation carried out by pilot city as a reference for other cities and the regions to learn from. The developments in regulatory, the compliance and implementation of policies will bring positive change to the used car industry, including higher engagement to offer industry players and customers the high acceptance of buying used car. But this change will gradually to taking place. From what we have seen currently, all these three policies will benefit Uxin as we now operate as the online used car dealer. First, as a business entity, our adoption of inventory-owing model we will be fully supported by the policies. In addition, the use car tax cut can also help to lower our tax expenses. We will be operating under the inventory-owing model and for promoting as well called temporary property registration and digitalization of the title transfer process. It will significantly simplify the fulfillment process as customers purchase used car online from us, which will lead a much improved delivery, the efficiency. And at the same time relevant fulfillment to cost can also be optimized correspondingly. So I think follow all of these policies, I think next year, they used car -- the total transaction volume, could it be increased and from our forecast it's around the two digits around 10% to 15%. So that's the answer for the first question. And the second question about the NPS improvements. I think this year we really found out a very efficient way to improve the NPS. I think we are mainly focused on the two aspects, quality and the condition of used car, and the best-in-class purchasing services. This two things is the most sensitive to improve the NPS. So next year, we are keeping to enhance all our ability and the source invested into this to area, and we believe that we can keep to improve the customer satisfaction and also improve the NPS. Yes. And I want to say some more, for example, we were focused on strengthening our ability to reconditioning the car. So next year, we will do -- build our own the reconditioning center to enhance our refurbish ability from using ourselves and to bring the like new condition the used car to our customers. Yes, and that's the second question -- the answers. Thank you, Eddy.
Unidentified Analyst: Thank you. Thank you, D.K. Thank you. Very clear. Thank you very much.
Kun Dai: Thank you.
Operator: Thank you. Thank you. I would now like to turn the call over to Nancy Song, for any closing remarks. Thank you.
Nancy Song: Thank you again for joining our call today and for your continuous support in Uxin. We look forward to speaking to you soon in the future. Thank you.
Operator: Thank you. That concludes the conference for today. 
Kun Dai: Thank you.
Operator: Thank you for your participation. You may all disconnect your lines now. Thank you.